Operator: Welcome to the OceanaGold 2016 Year-End Result Webcast and Conference Call. [Operator Instructions]. Note that this call is being recorded on February 24, 4:30 pm eastern time. I would like to turn the conference over to Darren Klinck. Please go ahead sir.
Darren Klinck: Thank you operator and good morning, good afternoon everyone. Welcome to the OceanaGold full year 2016 financial and operating results call and webcast. Thank you very much for joining us today. My name is Darren Klinck, Executive Vice President of Corporate Development at OceanaGold. With me here in Vancouver today, Mick Wilkes, President and CEO and Mark Chamberlain our Chief Financial Officer. Also in Toronto on the call, Sam Pazuki, our Director of Investor Relations. Before we proceed, note that all references in the presentation that you are about to hear adhere to international financial reporting standards and all figures are denominated in U.S. dollars unless otherwise stated. Also, note that the presentation contains forward looking statements which by their very nature are subject to some degree of uncertainty. I now turn the call over to Mick Wilkes to begin the main portion of the presentation.
Mick Wilkes: Thank you Darren and good morning, good afternoon or good evening everybody. It's pleasure to present to you the results of a very successful year in 2016 for the Company and what we've titled consistently delivering on commitments. We achieved upon, referring to page 3 of the presentation, we achieved record annual revenue of $628 million and record annual profit of $136 million. Production was in line with guidance at 417,000 ounces, as was our all-in sustaining cost at $708 per ounce. For the fifth consecutive year, we've achieved our guidance. We'll produce record earnings and have increased our cashflows. As expected the commissioning at Haile is going to plan after starting up the mills at the end of last year. We're very pleased to announce that we've declared a semi-annual ordinary dividend of $0.01 per share following this period. Moving on to the next page, page 4, a year-on-year comparison. Our production is in line with the previous year. Revenue is up 24% on the back of higher gold sales. EBITDA is up 47%. Net profit up 157%. Gold price slightly up and copper price slightly down. When you compare our cost of production over the last four years, it's reduced by 18%, from $868 per ounce all-in sustaining cost, down to $708 per ounce last year. Turning to page 5, consistently delivering industry leading return on invested capital. This is something we've become known for in the investment world. Our ROIC which is EBIT divided by total equity plus long term debt as calculated by Bloomberg, has been positive every year since 2010. The three-year average annual ROIC for the last three years has been an industry leading 13.3%. This year, 2017, we expect it to go even higher. Barclays estimate of 18.7%. Our total shareholder return over the last three years, again has been an industry leading 138%. So, very pleased with the performance of the Company. Just a quick comment about safety. We did have a year. There was a tragic fatality in the business and our safety performance has plateaued. To address this, the Company is taking steps from the Board down to introduce proactive leadership forward looking safety measures. So, there are very definite steps being taken to improve our safety record further than it currently is. Turning to page 7, of course the big news from last year is that we successfully constructed the Haile project and are advancing it into commercial production. HGM0001, the first gold bar was successfully poured on January 20 and we've since poured a number of others. We've poured about 2000 ounces to date and we've produced through the mill an inventory over 10,000 ounces. The process plant is up and running. Utilization year to date is 60% and in line with the plan. Month to day, as month of February it's over 80%. We've had a sequential focus on the conditioning, starting with the oxide ore and through to transitional ore and now we're into the sulphide ore with flotation and fine grinding. We have had a positive reconciliation on the amount of oxide in transitional ore from the ore body which has been a nice surprise for us. Further positive results have been seen from the leaching kinetics on this oxide material and the transition material leading to lower residency time and expectations of that to continue into the sulphides. On page 9, the picture of the open pit. It's call the Mill Zone Pit, where we're down into ore and we're actually restricted restrained in the development of that pit by the amount of ore in the pit. Steady state mining is being achieved at over 60,000 tonnes per day. These are metric tonnes. Now the pre-strip and the opening up of the second pit at Snake is about to commence. We have had positive reconciliation. More tonnage at slightly better grades. We're also stockpiling sulphide ore as we speak. Just moving on to the operational performance across the business in 2016. Page number 11. It's starting with Didipio. Production as previously disclosed was in line or slightly better than guidance production in the fourth quarter. It was just over 30,000 ounces of gold. Copper is down at 3700 tonnes, again in line with the plan. The mining grades fell in the fourth quarter as expected as we were mining through the ore body. Sorry, higher grades in the open pit as we were going down into the bottom of open pit. Importantly significantly lower waste was mined. We now have over 22 million tonnes of stockpiled ore which has got an average grade of 1.1 grams gold equivalent which when you calculate it out is over 800,000 ounces of gold equivalent sitting in stockpile for future processing. This will supplement the mill feed from the underground from 2018 onwards. Processing completed plant upgrades in Q4 which, as you can see from page 12, resulted in lower throughput in Q4 as previously guided. The mining physicals, the graph on the top left, shows you that the amount of ore mined has increased in the fourth quarter to 3.3 million tonnes and the amount of waste is reduced during the quarter to 1.9 million tonnes, going from an average of 5.5 million tonnes of waste per quarter in the first half of the year. Ore mine grades for copper slightly lower in the second half and gold was up again as per the forecast quarter-on quarter. It's been a good result in the Philippines if Didipio continues to perform well. On page 13, the Didipio mine plan we're pleased to report that we're now down to the 26/70 level. That was at the end of 2016. We have about another 90 meters to go before we get to the bottom of the upper levels where stoping production can commence. The plan for underground development is going well. We expect open pit mining to cease in the second half of 2017 and underground development will continue at this stage. Slightly higher CapEx on the underground because of increased stope. We've got mining inventory is up to 20 million tonnes in the underground mine plan now. We've also brought forward some expenditures from later out in the mine plans into this year. If you look at the cross section on page 13, you see the open pit outline and the position of the pit as of December 2016, denoted by the dotted line. You can see for this quarter until the end of the pit life we will see very high grade ore and no waste. Or very little waste. This means we're going to see very strong production out of the Didipio for the first half of this year. Moving on to page 14 and an update on the current situation in the Philippines. I'm sure you're all excited to hear the latest news. The audit process update is we did receive the suspension order which you're aware of for various alleged breaches which we flatly refute. We did file an appeal with the Office of the President immediately which has allowed us to keep operating unaffected. The appeal process, there's a 30-day period up until March 15, to submit our argument. Then the DENR has 15 days after that to respond with their argument. Then following that the Office of the President will consider and there is no time limit on that consideration. I stress that the audit that was carried out in July and August of 2016 shows no regulatory or legal violations, no environmental breaches of our contract were cited by the DENR audit team. We continue to engage with all parties involved and I would note recently the MICC, the Mining Industry Consultation Committee have announced that they will be conducting another audit. An audit conducted by independent experts who will act with objectivity, fact finding in a science based review. The government and the president have committed to following proper due process which we declare has not been followed to date. So, feeling very confident that we will continue to operate at the Didipio operation. Moving on to page 15. Didipio 2017, our guidance is unchanged, 110,000 to 130,000 ounces copper production and 15,000 to 17,000 tonnes. All-in sustaining cost of $130 to $180 is lower than the previous year, 2016, because we have less waste mining. The production in the first half, as I said, will be greater than the second half. The first quarter will be the strongest quarter of the year. The fourth quarter the weakest quarter of the year in open pit mining operations as I mentioned are in the high-grade material right now. The underground development is ongoing for the time being, but we will monitor the current situation regarding the appeal process. Moving on to Waihi, page 16. Another solid quarter for Waihi. Just under 30,000 ounces. Ore is sourced solely from the Correnso vein and stoping has commenced in another new view called the Daybreak vein. Development has commenced in additional veins called Empire and Christina. Processing was higher based on higher feed and the key focus for us at Waihi this year and next for that matter, is advancing the market project and the exploration projects that I'll talk about in a second. So, physical for Waihi, pretty much the same as previous quarters. Better throughput in the mill based on more ore available. Therefore, better gold production. Grades continue to be above 7 grams. Operating costs in line with plan or slightly better. Particular mining costs are coming down. Processing costs are coming down despite a stronger New Zealand dollar. Guidance for 2017 for Waihi on page 18, 110,000 to 120,000 ounces. Slightly higher all-in sustaining cost because we intend to spend another $5 million on exploration at Waihi this year. Steady production throughout the year from the first half to the second half. I will now focus on the exploration program and the Martha project on page 19. This new feature is a screen shot of the mine design showing the open pit in brown. It shows the mined-out ore bodies from underground in green. The stopes that are planned for mining this year or next year in blue. Then underneath the pit you've got the brown colors which are the old stopes. The blue or the purple outlines which is the resources that's been identified last year through our studies as being potential that could be mined from either underground or open pit methods. So, we're calling this the market project, the 1-million-ounce target of resources that's hid beneath the pit. We currently have five rigs sitting at surface testing the extensions beneath the pit and we have three rigs currently drilling from underground, extending the existing known bones at Christina, Empire and Correnso. To further increase the confidence of the resources beneath the Martha pit, we're developing two drives, drill drives on elevations about 100 meters apart where we will do underground drilling from to drill out this resource over the next 18 months or so. That's a key focus for us. We believe that some of the resource can be taken from a small cut back on the open pit, affecting only land t at we have access to. We believe we can do underground mining as well. In addition, there are other surface targets that can be pursued and we'll report on those through the course of the year. Moving on to Macraes. We've got steady safe production there. A good year for Macraes in the quarter of 42,000 ounces in the quarter four. Less waste mined and more ore available from the Coronation Pit. Continued higher recovery. So, another good recovery quarter with 86% achieved through the process plant. We're advancing the Coronation North into the mine plans. That will start mining this year and coming into production later in the second half of this year. Physicals as I mentioned, the mining physicals more ore available. Almost 1.8 million tonnes of ore and 8.9 million tonnes of waste. Processing, you see the grade is starting to pick up again in the fourth quarter. Operating costs are still good despite the higher exchange rate. I'd like to, as always, point out the very competitive mining cost there of $1.23 per tonnes which is lower than 2015. Guidance for Macraes in 2017, as I mentioned we're getting into the Coronation North deposit which does have higher grade than current mining areas. The gold production will increase in the second half of the year as Coronation North comes on stream. As a result, our production out of Macraes this year and probably next year will be 180,000 to 190,000 ounces for the year. Consequentially, all-in sustaining cost will also reduce down to $950 to $1000 per ounce. Moving on to exploration and we're ramping up our exploration on the back of recent success at Coronation North. Exploring more intensely on the set 35 kilometers at strike on a number of targets. We have had some initial success at Nunns and will be systematically going through these various targets through the course of this year and next year. Lastly, we're advancing the Gold-Tungsten project for the end of current mine life. That means that when we've exhausted all resources and reserves and exploration within the 35 kilometers as we know it, we then look to move the process plant and unlock that 1.2 million ounces of gold [indiscernible] Tungsten in a relocated process plant. Those studies, the engineering work will continue throughout this year to fine tune that project. I'll now hand over to Mark Chamberlain, our CFO, who will talk to you about our financial performance.
Mark Chamberlain: Thank you Mick. Looking at page 25 when we've set out our financial position as at the end of last year. To begin with we had total liquidity of $96 million, comprised of $69 million of cash and $27 million undrawn under our $300 million facility. That gives us a very comfortable level of liquidity given we're now at the end of build of Haile and with the first gold pour and imminent revenues from that project commencing. Looking at the debt level, total debt was $325 million, $273 million of that is the revolving credit facility and $52 million of equipment leases. This too is reasonably modest gearing of about 18% which is quite a modest ratio for a mining company at the end of a development phase. Moving on to page 26, just some details about the dividend as Mick mentioned. The directors have declared a semi-annual dividend of $0.01 per share. That will be at a cost to us some $6 million. We've put in place now, we've developed a facility whereby shareholders can be paid in their currency of choice provided it's U.S. dollars, Canadian, Australian, New Zealand or Pounds. As you note, we now intend to pay dividends on a semi-annual basis which is a practice more in line with our North American peers. It's been our stated policy to pay a fixed dividend of $0.02 per share annually, with the directors having a discretion to pay an additional amount. What we've down here is holding to that policy is a $0.02 fixed annual dividend that equates to $0.01 fixed half yearly. Intentions after the June results, the directors will review the situation and determine possible payment of the remaining $0.01 of the fixed component and will, as circumstances allow, will determine whether there's a payment of an additional discretionary dividend. On page 27, we have financial summary. In fourth quarter, there was revenues of sum $147 million. Very similar to third quarter which achieved about $150 million in revenue. Overall for the year we had record revenues of $628 million. We saw EBITDA in the third quarter of $66.9 million, a 9% improvement on the third quarter. EBITDA for the year, $283 million, a $90 million increase on 2015. So, overall our sales are looking at that revenue, we actually had sales of 105,658 ounces in the fourth quarter compared to 98,195 ounces in the third. But, our realized price was some $120 lower at $1170 compared to the peaking of prices in 2016 of $1290. Just to note that post the end of 2016, we have seen some of that ground come back on the price of gold. The EBITDA has strengthened on a quarter to quarter basis by some 45%. That was on the basis of cost of sales dropped some $13 million from $77.5 million to $64.3 million. That offset the provision for the cost of $8 million awarded against us in the El Salvador arbitration. The profit for the quarter was $42.6 million. The strongest quarter of the year giving us a record net profit overall of $136.5 million. On that there was a high EBITDA played on $5 million. We saw a lower depreciation and amortization cost of $3 million. Again, on the undesignated hedges of some $15 million in the quarter compared to $8 million in the last quarter. Overall for the year there was a $4 million gain on the hedge book for the year. Moving to page 28, those results are now in the table there. Tabula 4. Just to note a couple of things. Sales, we showed there of 437,000 ounces odd for 2016, compared to 401,000 of 2015. So, some 36,000 ounces higher. Copper as per plan, was lower with 21,400 tonnes compared to 22,800 tonnes. We saw a higher gold price on ore in all. About $89 higher comparing 2015 to 2016. Looking at income statement there, I just want to point out that the revenue figure there in 2015, Waihi's production from June of 2015 is included in the production figure, but we have not included it in the revenue figure. It only commenced after we had received the formal New Zealand government approval on the November 1. So, the revenue that we derived or was effectively derived from Waihi for the first five months of ownership went against the capital cost of that purchase in Waihi. Moving down the EBITDA really healthy. Almost $90 million on 2015. Depreciation and amortization just slightly lower. Net interest and finance cost, even though there's a slightly higher level of borrowings due to the Haile project because of reduction in margin we saw there, $3 million saves compared to the previous year. Unfortunately, but it's healthy, we're now paying income tax because the tax losses in New Zealand have generally been absorbed. That income tax expense relates primarily to New Zealand and some to the local taxes in the Philippines. All in all, a terrific net profit of $136.5 million compared to the previous year of $53.1 million. Page 29, sets out cashflows. Just noting the operations cash flow of almost $80 million in the fourth quarter. Looking at taking out working capital movements. It's very similar, $67 million for the fourth quarter compared to $61 million in the third quarter. The investment cashflows are $120.7 million and in the box to the right at the bottom there you'll see the breakdown of capital expenditure by operation of $120.7 million spent. $80.5 went to Haile as would be expected and the balance is really in Didipio with $12 million allocated to the underground and $6 million on other infrastructure projects. Overall, then that appears we've got up the top there the quarter by quarter capital expenditure breakdown, as you can see quite consistent over the last three quarters. Moving on then to page 30 and I'll hand back to Mick to sum up.
Mick Wilkes: Yes, so the chart on page 30 looking ahead it really tells the story for us in 2017 and beyond. We've had an extraordinary period of growth in the Company from 200,000 ounces in 2013 to almost 600,000 ounces in 2017. Our cost of production continues to fall from almost $900 per ounce in 2013 down to below $650 per ounce in 2017. The near term catalyst for us announcing commercial production and the results of our optimization study later this year. We have significant growth potential in the business to expand the Haile project up to around about 250,000 ounces a year. The market project which I anticipate will extend the mine life at Waihi out to 2030. An extensive exploration at Macraes as well as the Macraes Gold-Tungsten project which combined could take production out to 2030 as well. The solid balance sheet, strong margins and free cashflow generation will allow us to maintain and develop our projects to maintain the 600,000 ounces per annum company in the medium term. With that, I'll hand back to the operator for questions. Thank you.
Operator: [Operator Instructions]. Your first question will be coming from Michael Solinsky at Credit Suisse. Please go ahead.
Michael Solinsky: Thanks. Three questions from me. First of all, the couple of projects in New Zealand, the Gold-Tungsten one which we've been hearing about for quite some time and the Waihi opportunity, is there sort of any definitive timeline for when there might be something that we can assess? When you'll have something ready to present to us on either of those? Certainly, the Gold-Tungsten one I guess we've been thinking was end of year, end of year for some time. But when do we actually get something where we can have a look at it?
Mick Wilkes: Thanks for the question Michael. The Gold-Tungsten project has been considered for implementation earlier, but with the success we've had a Coronation North we've now pushed that our further, so it looks like potential to implement in 2020 or thereabouts. We have been continuing to work on engineering designs to further improve the economics of the project. Importantly, one of the key changes is that we would--the key change in our thinking is that we would use existing plant and equipment wherever possible to minimize the cost of that relocated process plant. There's other things happening like reviewing waste dump designs to minimize mining costs, in tip dumping and removal of tailings, all of which is requiring additional engineering time and we do have time to do it. I withheld releasing any reports at this stage until we get a better handle on what we actually think will happen and the economics of that. With the Martha project in New Zealand, at Waihi we continue to advance the resource drilling there, the exploration drilling. We did have a setback when we had the pit wall failure which continued to fail throughout 2016 and cut off access to the pit. That's necessitated the requirement to put in those two drill drives to allow us to drill out the ore underneath the pit. So, we just delayed the resource determination on that because of that access. Notwithstanding that, we've had good success with extending and replacing our reserves at Waihi around existing loads. I am anticipating that in the latter half of this year, we will commence a permitting process for that Martha project and that would take, I'm not sure, in the order one to two years. But when that permitting process starts, the first thing we do is we talk to the community and then we release the results from the study.
Michael Solinsky: That makes sense. Thank you. Secondly, your comments about Haile with respect to the leaching kinetics lower residence time than what was anticipated with the oxides and just by your similar results of the sulphides, what's the implication of that? Do we take that as a benefit in terms of recovery? Or, does that remove one of the bottlenecks in the path that maybe allows you to push through more tonnes at a higher rate than perhaps what you've guided to date?
Mick Wilkes: No, it is simply a statement to reflect our confidence in recovery. It means that the ore is not that refractory. There's gold leaching out quite quickly. That's ore that's well for the kinetics. When we get into the sulphide stuff which just requires a finer grind. So, it's a statement about recovery.
Michael Solinsky: Then finally with respect to the Philippines. I guess you're an engineer. You're used to making rational decisions on data. So, when you've got a situation like the Philippines where you can't make a rational decision, well sorry you can but they can't, how do you put that in terms of your planning more broadly for the Group if you can't definitively say that cashflow will continue for the Philippines, yet you've got capital requirements and opportunities elsewhere in the business. How do you run the business over the next period to ensure that you don't get into a liquidity challenge?
Mick Wilkes: Thanks for that question Michael. What we probably can do is we run the business based on facts from what we know. What we do know if that we have not breached any regulation and not breached any laws and not violated any terms of our contract whatsoever. We will now follow the legal process and monitor that situation closely. The situation in the Philippines, there's daily reports coming out. Some of them are quite entertaining, but we're comforted, I'm comforted by the fact that the MICC, under the stewardship of the secretary of finance and other senior cabinet members, are resting control of this situation and have recently announced their own independent audit from which the true facts will be revealed. So, it's business as usual in the Philippines. Batten down the hatches in terms of the situation, but keep the business running as it always has. We will weather the storm in relation to going through the proper due processes.
Operator: Thank you. Next question will be Reg Spencer at Canaccord. Please go ahead.
Reg Spencer: Thank you. Good morning guys. Congratulations on a very good 2016. A couple of questions from me. First one is recoveries at Macraes. I note that you guided the future expectation for recoveries to be between 80% and 83%. Can you just give me an indication of why that might be the case? We've noted that the last nine months or so you've seen recoveries up around the 86%, especially given that you could be seeing higher grades from Coronation North. Can you just give me a feel for what's happening with recoveries at Macraes over the next little while?
Mick Wilkes: Thanks Reg. I sort of marked the same question myself as the metallurgist at Macraes. I think there's a little problem with the conservatism there because Coronation North is another ore body. I mean it's the same structure. It's the same mineralization. But as yet it's untested. So, we're maintaining that 80% to 83% recovery rate. The reason that we have seen improvements in recoveries, the main reason, there's a few of them, but the main reason is since we've turned off the treatment of Reefton concentrates which was finished at around the second quarter last year, we've had more oxidation capacity available from the [indiscernible] and therefore we've had more oxidation of the Macrae's concentrate which has led to a better recovery in the circuit. Now, our metts aren't forecasting that's going to continue with the Coronation North feed as yet, but don't be surprised if it does.
Reg Spencer: Okay, so maybe somewhere in between your guided 80% to 83% and the 86% that you've seen it servicing is probably what we should be thinking about going forward. That's great. Lastly just at Didipio, can you quantify for me the potential reduction in annual sustaining CapEx from the accelerated capital program that you're going through there in 2017?
Mick Wilkes: Are you talking about the underground project?
Reg Spencer: Yes, sorry the underground. Apologies. Yes.
Mick Wilkes: We brought forward some of the surface infrastructure so it wasn't necessarily sustaining capital on an annual basis.
Reg Spencer: Sorry, I was just referring to your guidance, Mick, when it came out a few weeks back and you mentioned that the budget for the project had gone up by about $15 million or $16 million and it was likely to lead to lower underground sustaining capital going forward.
Mick Wilkes: No, it didn't lead to that. What it said was that with the improvement in the design, so if we had had an increase in the stope of the project, so the ore body were going down deeper which has increased the capital cost. But what that statement was saying was that increase in cost is offset by improvement in the mine design whereby we don't have to have 15-meter level stopes any more. We're going with 30 meter stopes throughout the ore body. So, 15 meter stopes were planned in the higher grade lower strength rock. Now, through the Geotech process we've determined that all of the stopes will be the same height which reduces your development cost and your sustaining cost. The capital cost is offset by a lower sustaining cost later on.
Operator: Thank you. Next question will be from Geordie Mark at Haywood Securities. Please go ahead.
Geordie Mark: Afternoon guys. Another good year. Just maybe follow suit on from Reg. Just on to Didipio there. So, given the change of stope again to 30 meter stopes. Any changes in unit costs expected going forward versus the study for underground mining I guess 2018 onwards? Also, the guidance this year for Didipio, you've got your asymmetry in production. Is that for both copper and gold? Are you looking for copper and gold to go together in the first half and the second half?
Mick Wilkes: To be honest I don't have the figures at hand, but it's safe to assume that Geordie, that copper will also be stronger in the first half than the second half. In relation to the mining cost per tonnage, it will reduce by about $3 with the new mine design. It's in that order.
Geordie Mark: Great. For the guidance this year in Didipio, what's the level of throughput that you're looking at for the year?
Mick Wilkes: 3500 m3/hr.
Operator: Thank you. Next question is from Chris Thompson at Raymond James. Please go ahead.
Chris Thompson: Good afternoon guys. Thanks for taking my question. Congratulations on a very solid quarter. Apologies if I missed it, but could you detail how much CapEx you've spent to date on Haile and how much remains?
Mick Wilkes: We've spent $380 million on the project and that was to complete construction. We're going through working capital at the moment and there is credits as well with gold production. Once we've finished the announced commercial production we'll have the final capital number. I'm expecting a 5% to 10% increase in capital cost over the $380 million.
Chris Thompson: Great. Thanks Mick. Then just finally, have you got a sense of when we can see some revised reserved resources for all projects?
Mick Wilkes: We'll have a statement out in the next couple of weeks on the 2016 reserved resource statement. Then there will be a follow up statement on Haile alone later in the year when we release the optimization study.
Operator: [Operator Instructions]. Next question will be from Sophie Spartalis at Merrill Lynch. Please go ahead.
Sophie Spartalis: Just following on from some of those questions at Didipio given that the changes that you ran through with regards to those heights, the gold production going into 2018 and beyond, given that we're ceasing open pit production this year, is it safe to assume that we're probably at the lower end of that 2007 guidance ban going forward when it's just the underground.
Mick Wilkes: Probably for next year. That's a fair assumption. But as the underground ramps up the full production in 2020, you'll see some very strong production coming out. The 1.6 million tonnes per annum of high grade supplemented by stockpiles of 1.1 grams gold equipment, I should say, will still give us a very strong production in the order of 100,000 ounces to 120,000 ounces a year.
Sophie Spartalis: Okay, great. Thank you.
Mick Wilkes: Plus copper.
Sophie Spartalis: Yes.
Operator: Thank you. At this time, we have no further questions. I would like to turn the call over to Mr Klinck. Please go ahead.
Darren Klinck: Thank you very much operator. That concludes the presentation for today. On behalf of the team at OceanaGold, we'd like to thank you for your interest and participation and support, over the last 12 months. Should you have any further questions, of course, please don't hesitate to contact us directly. Thank you again.
Operator: Thank you, sir. Ladies and gentlemen, this does conclude today's webcast and conference call. Thank you for participating. At this time, we do ask that you please disconnect your lines. Enjoy the rest of your day.